Operator: Welcome to Anheuser-Busch InBev's Third Quarter 2023 Earnings Conference Call and Webcast. Hosting the call today from AB InBev are Mr. Michel Doukeris, Chief Executive Officer; and Mr. Fernando Tennenbaum, Chief Financial Officer. To access the slides accompanying today's call, please visit AB InBev's website at www.ab-inbev.com and click on the Investors tab and the Reports and Results Center page. Today's webcast will be available for on-demand playback later today. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on management's current views and assumptions and involve known and unknown risks and uncertainties. It is possible that AB InBev's actual results and financial condition may differ, possibly materially from the anticipated results and financial condition indicated in these forward-looking statements. For a discussion of some of the risks and important factors that could affect AB InBev's future results, see Risk Factors in the company's latest annual report on Form 20-F filed with the Securities and Exchange Commission on the 17th of March 2023. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call and shall not be liable for any action taken in reliance upon such information. It is now my pleasure to turn the floor over to Mr. Michel Doukeris. Sir, you may begin.
Michel Doukeris: Thank you, Jessie, and welcome, everyone, to our third quarter 2023 earnings call. It is a great pleasure to be speaking with you all today. Just a heads up, I'm slightly under the weather and then taking the call remotely. Apologies in advance if my voice is a little raspy. Today, Fernando and I, we will take you through our third quarter operating highlights and provide you with an update on the progress we've made in executing our strategic priorities. After that, we will be happy to answer your questions. Let's start with our operating performance. Our global momentum continued this quarter although was partially offset by the performance of our U.S. business. We delivered revenue growth of 5%, with our net revenue per hectoliter increasing by 9% as a result of pricing actions, ongoing premiumization and other revenue management initiatives. Total volumes declined by 3.4% as growth in our Middle America, Africa and APAC regions was primarily offset by performance in the U.S. and a soft industry in Europe. EBITDA increased by 4.1% and reached USD 5.4 billion. Underlying EPS was US$ 0.86, a $0.02 per share increase versus last year. In line with our capital allocation priorities, we have announced a US$3 billion bond tender, and we have also announced today that we will be proceeding with a US$1 billion share buyback program to be executed within the next 12 months. Fernando will provide some additional details on the capital allocation choices later in the presentation. While the operating environment remains dynamic in some of our markets, the strength of our global footprint, brand portfolio and our continued focus on disciplined resource allocation are enabling us to invest for the long term, while delivering efficient, profitable growth. We delivered broad-based growth this quarter with both top and bottom line increases in four of our five operating regions and with revenue growth of more than 80% of our markets. Our scale and diverse geographic footprint with leading positions in the largest profit and growth pools has us well placed to deliver superior long-term value creation. Now, I will take a few minutes to walk you through the operational highlights for the quarter from our key regions, starting with North America. In the U.S., the beer industry remained resilient, delivering revenue growth of 3.3% this quarter and with beer gaining share of value of total alcohol in the off-premise. Our revenues declined by 13.5% and STR volumes by 16.6%, primarily due to volume decline of Bud Light and impacted by shipment phasing ahead of our October price increase last year. With respect to Bud Light brand performance, we have actively engaged with over 260,000 consumers since April, and the common points of feedback remain consistent. One, consumers continue to want the Bud Light brand to concentrate on the platforms that all consumers love, and we are doing just that through investing in partnerships with the NFL, Folds of Honor, news platforms, college football and our recently announced return to partnering with the UFC. Two, they want Bud Light to focus on beer. The Bud Light is to summer is to Sunday campaigns are all about bringing people together over a beer for the moments that matter. Notably, a recent survey found that over 40% of lapsed Bud Light drinkers said that they are now more open to come back to drinking Bud Light. Third, they want that beer without a debate. We are taking the feedback and working hard towards our consumers' business every day across the world. While our total beer industry share declined by 550 bps this quarter to 36.6%, it has been stable since the last week of April through mid-October. U.S. EBITDA declined by 9.3% this quarter. Similar to last quarter, approximately two-thirds of the decline was driven by market share performance and one-third driven by productivity loss and the strategic choices we made to increase sales and market investments in our brands and provide support to our wholesaler partners. As we move forward in the U.S., we are focused on what we do best, brewing great polished beer, actively engaging for consumers, supporting our partners and positively impacting the communities that we serve. Now moving on to our largest region, Middle Americas, which delivered margin expansion and another quarter of growth. In Mexico, we delivered mid-single-digit top and bottom line growth. Our above core portfolio continued to outperform, led by the strong performance of Modelo Especial and Pacifico. We continue to progress on our digital initiatives with our vendor platform in beer, now enabling digital utility payments and mobile data purchases in more than 9,000 points of sale and generating over 170,000 transactions in the third quarter. As we highlighted at our recent Capital Markets Day, Mexico is an example of the performance that can be delivered with effective execution across all three pillars of our strategy and implementation of our replicable tool kits. In Colombia, our business delivered double-digit top and bottom line growth. Our core portfolio led our performance this quarter with a particularly strong performance from Poker, which grew volumes by high-single-digits. In South America, our business in Brazil delivered mid-single-digit top line and double-digit bottom line growth with margin expansion of 628 basis points. Our beer volumes declined by 1.1% as a cycle all-time high quarterly volumes in third quarter 2022. Our premium and super-premium brands led our performance, delivering a volume increase in the low-teens. Now let's talk about EMEA. In Europe, we grew top and bottom line by low-single-digits. Volumes declined by high-single-digits, outperforming a soft industry in more than 80% of our key markets according to our estimates. We continue to drive premiumization across Europe. Our premium and super-premium brands delivered mid-single-digit revenue growth this quarter, led by Leffe and Stella plant. In South Africa, we delivered double-digit top line growth with our portfolio continue to gain both share of beer and total alcohol. EBITDA grew by mid-single-digits as top line growth was partially offset by anticipated transactional effects and commodity headwinds. Our core portfolio continued to outperform, delivering high-single-digit volume growth. And our global brands led by Corona grew volumes by more than 35%. And finally, APAC. In China, our business delivered high-single-digit top and bottom line growth, driven by continued premiumization and on-premise recovery across our key regions. Our premium and super premium brands continued to outperform, growing volumes by more than 10%. The rollout and adoption of this platform continues with BEES now present in over 200 cities and over 65% of our revenue generated through digital channels in September. Now let's move on to our strategic pillars. Let's start with Pillar 1 of our strategy, lead and grow the category. We continue to execute on our five levers to drive category expansion and deliver another quarter of profitable top-line growth. We are leading and growing the category by offering superior core propositions, developing new consumption occasions and expanding our premium and beyond beer portfolios. As we shared at our recent Capital Markets Day, premiumization is one of our biggest growth opportunities. Corona, Budweiser and Stella Artois have all been intentionally built to address one of the key consumption occasions for premium beer. And with the elevation of Michelob ULTRA as our fourth global brand, our focused portfolio is well-positioned across all demand landscapes to lead the premiumization of the beer category. And our global brands are continuing to lead our growth. The combined revenues of Corona, Budweiser, Stella Artois and Michelob ULTRA grew by 15.1% this quarter, outside of the brand's home markets. Now let's turn to our second strategic pillar, digitize and monetize our ecosystem. This continue to accelerate usage and reach, capturing US$10.4 billion in gross merchandising value this quarter, a 27% increase year-over-year and reaching 3.4 million monthly active users. Customer satisfaction continued to improve with our weighted average Net Promoter Score improving to plus 60, up 7 points since last year. In 15 of the 25 markets where BEES is live, our customers are also able to purchase third-party products through BEES marketplace. Customer adoption is increasing with 65% of BEES customers now also BEES marketplace buyers. In the third quarter, BEES marketplace generated approximately US$420 million in GMV representing approximately US$1.7 billion on an annualized basis. Now let's talk about how we are strengthening our direct relationship with our consumers. Our D2C mega brand, Zé Delivery, TaDa and PerfectDraft are now available in 21 markets, generating over 16.9 million orders and US$125 million in revenue this quarter. We continue to leverage our digital DTC products to generate meaningful consumer insights and drive category growth by developing occasions. For example, across Latin America, Zé Delivery and TaDa are enabling increasing in-home consumption of returnable glass bottle, tests that increase availability and shows consumer pain point of carrying this bulk products to and from their homes. With that, I would like to hand it over to Fernando to discuss the third pillar of our strategy, optimize our business. Fernando, over to you.
Fernando Tennenbaum: Thank you, Michel. Good morning, good afternoon, everyone. We aim to maximize value by focusing on three areas, optimized resource allocation, robust risk management and efficient capital structure. First, let me share with you a few sustainability highlights, as sustainability is key to both risk management and optimizing resource allocation. It allows us to ensure supply security, manage our costs and protect our license to operate and grow for the next 100-plus years. Here are a few examples of local initiatives with the potential to scale globally that are driving progress on our 2025 sustainability priorities. In climate action, to support our Scope 3 efforts, we organized supplier collaboration and training events across our key markets, including Mexico, Colombia and China. In smart agriculture, we hosted more than 200 farmers at our annual U.S. grower day to share results from Barley, variety and crop management research trials. In water stewardship, we launched a partnership with Water Aid in Ghana for a solar-powered water system to deliver clean, safe water to communities in it. For circular packaging, we scaled our program in Mexico to recover bottles, destinated for landfill, recovering more than 145 million bottles during the third quarter. All of these initiatives serve to optimize our business over the long term. With respect to capital allocation, we are focused on maximizing long-term value creation by dynamically balancing our priorities. We continue to invest in organic growth to support our strategy to lead and grow the category and digitize and monetize our ecosystem. The excess cash generated by our business is that dynamically allocated to our three capital allocation priorities, deleveraging, selective M&A and return of capital to shareholders. As you can see on the next slide, two times net debt to EBITDA remains the point at which we maximize value, though approximately 90% of the benefits from deleveraging can be captured as we approach three times. Our debt maturity profile remains well distributed with no bond maturities in 2023 and no relevant medium-term refinancing needs. If you look at our debt maturity profile, we have US$3 billion worth of bonds maturing through 2025. Our bond portfolio has an average pretax coupon of around 4% and a weighted average maturity of 14 years. In addition, our debt portfolio does not have any financial covenants and is comprised of a variety of currencies diversifying our FX risk. 97% of our bonds have a fixed rate insulated from interest rate volatility and inflation. As part of our value-creating agenda, we have announced two capital allocation initiatives. First, to further reduce our debt quantum and progress on our deleveraging path, we have announced a US$3 billion cash tender offer for certain outstanding bonds. Second, we announced today that we will be proceeding with a US$1 billion share buyback program to be executed within the next 12 months. We will continue to dynamically balance our capital allocation priorities to maximize value creation. And as we move towards three times net debt to EBITDA, we believe there will be continued flexibility. And now, let me take you through the drivers of our underlying EPS this quarter. We delivered EPS of $0.86 per share versus $0.84 per share last year. Organic EBITDA growth, accounting for $0.11 per share, was partially offset by translational effects and higher non-controlling interest. Optimizing our net finance costs accounted for a $0.05 per share increase. With that, I would like to hand it back to Michel for some final comments before we start our Q&A session. Michel?
Michel Doukeris: Thanks, Fernando. Before opening for Q&A, I would like to take a moment to recap my key takeaways for the quarter. While the operating environment remains dynamic in some of our key markets, we continue to make progress in executing across each of our three strategic pillars. Our business momentum continued this quarter with both top and bottom line growth in four of our five operating regions. Driven by the strength of our mega brands, we grew revenue in approximately 80% of our markets. We made important strategic choices in pricing and other revenue management initiatives, which drove continued strong net revenue per hectoliter growth of 9%. We progressed our digital transformation, generating US$10.4 billion of GMV through BEES, with 65% of BEES customers now also BEES marketplace buyers, delivering an annualized GMV of approximately US$1.7 billion. EBITDA grew organically by 4.1% as disciplined overhead management mostly offset the elevated cost environment. With respect to capital allocation, we have announced two important decisions with the launch of a US$3 billion bond tender and US$1 billion share buyback. We know each quarter will be different and have tailwinds and headwinds. But as we highlight in our Capital Markets Day last month, when we take a long-term perspective, we are excited by the opportunities ahead of us. The beer category is large and growing, and our unique global leadership advantage, implementation of our replicable growth to keeps and our superior profitability position us well to generate value for our stakeholders. With that, I'll hand it back to Jesse for the Q&A.
Operator: [Operator Instructions] Our first question is coming from the line of Trevor Stirling with Bernstein. Please proceed with your question.
Trevor Stirling: Hi, Michel and Fernando. Two questions from my side, please. The first one, probably for Michel, concerning the U.S., it's a bit over six months now since the Bud Light crisis started. We're now starting to get actually some view, some clarity on what the new normal might look like. At what stage do you think you want to reshape the U.S. to match what that new reality might be? And second question, Fernando, the $1 billion of buybacks, I think the first one in 2015. This is, I guess, somewhat hypothetical question. But as you move forward into 2024, presumably your buyback capacity will be even greater, if and when Altria decided that they might want to exit some of their stake presuming that would leave you in a good position to participate in that, if you so choose
Michel Doukeris: Hi, Trevor. Good morning. Michel here. I'll take the first question. And I'll leave Fernando with the second. So I think that, first and foremost, we continue to invest in the U.S. for the long term. driving both our brands, but also category management and focused on what we do best, which is brewing great quality beer for everyone, connecting and engaging actively and listening to our consumers, supporting our partners and impacting the commitments that we serve. We are committed to continue to invest in Bud Light and all the platforms that consumers love, including the marketing campaigns. As we rolled out during the summer, we see easy to summer. And now during the NFL season, we see easy to Sunday. Activations across this platform is NFL college football, and including new platforms like we just announced the return, the come back to partner with the UFC. We remain confident in executing behind this strategy in our mega brands. And this continued investment with new actions, they led us to stable market share trends through quarter three with signs of improvement that we saw since April. And most recently, if you look at the last week, there was another big step improvement to 4.67 circa from the beginning of this crisis at 5.6. So I think that considering the steady improvement. And what we found on our latest research that over 40% of the lapsed buyers, Bud Light lapsed buyers, declared that they are now ready to come back, open to drink Bud Light again. This gives us some certainty that we are moving in the right direction. On top of that, we continue to fully support our wholesalers. The network is very important for us. We took new steps moving in the right direction. And we also highlighted this before that two-thirds of what we see in the results are market share-related. And then as we recover market share, this should reduce. And one-third is about operating leverage and strategic choices that we made to invest more and support the network. So those are more under our control. So I don't think that we are at a new normal yet, but we have a good grip on what we need to do and how we are proceeding from here. Thank you for the question.
Fernando Tennenbaum: And Trevor, Fernando here. Good morning. On your question, I can't comment on specific shareholders. On our capital allocation, which includes buybacks, it's always good to remind a little how our framework works. So in summary, we have a great business and the number one capital allocation priority is to invest into the organic growth opportunities, and we have no short of organic growth opportunities. And as we said during the Capital Markets Day, over the last four years, between 2019 and 2022, we invested more than $47 billion to drive organic growth. Then with the cash that we have, we continue to dynamically balance our capital allocation priorities to create value. The right way to think about it is that if the excess cash that we generate, we aim to maximize the value creation. And we do that by dynamically balance the three different capital allocation priorities, which is deleveraging, return of capital to shareholders and selective M&A. Once again, referring to our Capital Markets Day, as we move towards three times, we believe there will be continued flexibility. The 2022 dividend, which was paid in May, was increased. So we increased 50%. Then as we continue our deleveraging, this quarter, we launched a $3 billion cash tender offer for certain outstanding bonds. I believe this reinforces our commitment to continue to deleverage. And then in addition to that, we also announced a $1 billion share buyback to be executed within the next 12 months. All in all, we believe that these decisions are maximizing value creation to our shareholders. Thank you.
Trevor Stirling: Thank you very much. Thank you, Michel and Fernando.
Operator: Our next question is coming from the line of Rob Ottenstein with Evercore ISI. Please proceed with your question.
Rob Ottenstein: Great. Kind of two follow-ups to Trevor's question. So one, on the U.S., Michel, can you talk about any kind of green shoots? It looks to us like Bush Light and Michelob Ultra are showing some signs of improvement in the recent scanner that came out today. So can you confirm that? And then as we talk to a number people, distributors and some other folks at NACS and NBWA, we got the sense that in the fall shelf sets, you lost a little bit, but not that much, maybe one facing. So can you confirm that, put that in some perspective and what it looks like for the spring? So that's for you, Michel. And then Fernando, to circle back on the buybacks and the capital allocation, can you talk a little bit about -- are you trying to kind of give a message and a signal with the share buybacks? And what gives you the confidence to make these moves in such an uncertain macro environment? Thank you.
Michel Doukeris: Hi Rob. Good morning. Thank you for the question. Let me take these in two pieces. The first one as we shared on that graphic and you are right about the last week, sircana. We've been seeing that despite of calling stable market shares since April, the reality is that we are flowing back between 10 to 15bps every two weeks. And this is happening most with Michelob ULTRA and Bush, which in the last week, Bush and Michelob ULTRA were both positive and the brands remain very healthy under the consumer perspective in all metrics that we see. And of course, they were impacted by the overall situation, but they are less. The Bud Light, they are more in the family. And we see and we listen to consumers saying that they are coming back to their loved brands, and we expect these brands to recover their trajectory pre-April, which I think that's only a fair assumption to consider. We are not doing any forecast, but this is what we see with the numbers. And we continue to invest, as I said, the long-term behind the whole portfolio. So we see consumers now, 40% of lapsed buyers declaring that they are ready to come back, and declared intention is there. We want to see now the behavior materializing. It's already taking place of Bush Light with Michelob ULTRA and some other brands in the portfolio. On the reset, I think that we talked about this a couple of times. It's worth to complement the information that you shared, which is pretty accurate with what we said before. Fall reset is usually very small. And when you look at this fall reset, we had like around 10% of the chain towards doing some change, which is pretty much what happened. So around 10%, a little bit less. When you look at what is the main takeaway from that and the like, it's a little bit less than one phase on average. On average is 0.8 phases out of, on average, 20 phases that Bud Light has per store. So that is an adjustment of 5% of the cubic space that Bud Light has. The main reason for that is because Bud Light remains the number one volume and the number one brand by units. And as I said before, all big brands around the space, because it's usually in the category you have a lot of items with lower losses, but you want to represent. So the impact so far in Bud Light is very small. Michelob ULTRA gained in space, Bush Life gained in space and some other very important items that we have in the portfolio also gained in space. So I think that the number of cactuses that we have increases. Since the quarter one, we see good momentum as we move forward on the relationship with the retailers and the hard work that our wholesalers do. So we want to continue to call back this share position, make the right choices and investments for next year so we minimize any resets coming out of the spring reset. But as I always say on the three-tier system, the retailers are independent, they make their own choices, and their choices are made based on the losses, rate of sales and the belief that they have and the brands that will drive the category. Thank you for the question.
Fernando Tennenbaum: Hi, Rob, Fernando here. On your question, I wouldn't look buyback on any specific action in isolation. If you zoom out, we continue to drive more resources to the leverage. It's a $3 billion tender offer and 1 billion share buyback. But if you zoom out even further, this is a function of the business that we have. We are in a large and growing category. We have our leadership advantage, which is our unparalleled footprint and scale. We have the replicable growth drivers that iconic mega brands and digital products, and we have the superior profitability. It's pretty much our margins on cash flow. When you get all of that and get this to move and continue to deliver growth, we continue to generate cash, and then we need to allocate cash in a way that creates more value to shareholders, and that's the dynamic allocation of our capital. And the $3 billion cash tender and 1 billion share buyback, just a reflection of our business performance and the choices that we have to maximize value to our shareholders.
Rob Ottenstein: Thank you.
Operator: Thank you. Our next question is coming from the line of Mitch Collett with Deutsche Bank. Please proceed with your question. 
Mitch Collett: Hi, Michel. Hi, Fernando. It's Mitch Collett from Deutsche Bank here. I've got one question, please. You had a big recovery in your EBITDA margin in South America and primarily by Brazil. But can you talk about the drivers of that expansion? Clearly, there was a big benefit at the gross margin level from pricing above COGS inflation. But did these help at all, perhaps in terms of managing SG&A or maximizing your revenue per unit? Thank you.
Michel Doukeris: Hi, Mitch, I think that we also referred to this point in a couple of the calls that we had before, where we clearly made the separation between what our structural issues in relation to our margins versus what was a consequence of commodity inflation and FX. And it's very clear for us that structurally, we don't have any impact on our margins, but we have a lot of impact from commodities and FX. And we also highlighted that because of specifics in terms of sourcing, hedging, currencies, some of our markets got earlier into this margin compression, and some of the markets later. And therefore, the phasing out, we also not to be uniform. And when you think about what's happening in Latin America and especially in Brazil, we see great performance from our mega brands. So they are growing, driving growth both in power and in share. We are well positioned with the scale that we have and efficiencies, so operating very efficiently in the overhead. And as we see now commodities normalizing and FX a little bit more in our direction, the margins are rebuilding. Of course, part of our operating model now contemplates BEES, which enabled us to reduce cost to serve, enlarge our distribution scale and is also helping us to manage better the campaigns and the promotions that we do, integrating online and off-line. You combine this with a very good portfolio that we have today in Brazil, market structure that looks much better than it used to be in the past, so competitors competing more at the top, more premiumizing the market and the portfolio. And now with operating efficiencies, we are glad to see that this is converting into margins. It's all combined as it goes in Brazil and Latin America, and we saw together the same effects in Latin America when we were together in Mexico. So it's moving in the right direction.
Operator: Thank you. Our next question is coming from the line of Simon Hales with Citi. Please proceed with your question.
Simon Hales: Thank you. Hi, Michel. Hi, Fernando. So two for me, please. The first one is with you around your marketing and sales investments as we go through the end of the year. Is it fair to assume that the rate of SG&A growth that we're going to see in the business into the fourth quarter will probably begin to slow versus what we've now seen in recent quarters as you lap that World Cup spend unwinding Q4-on-Q4? Or should we still expect enough weighting of investment elsewhere in the business and not least your ongoing commitment to wholesaler support in the U.S. to maybe sort of offset some of that sort of theoretical Q4-on-Q4 benefits? So that's my first question. And then just secondly, just I suppose just a point of clarification with regards to the share buyback. Can you start executing that immediately, Fernando? Or do you still need to appoint a bank to handle the process and go through some other approvals before you'll actually be in the market?
Michel Doukeris: Good morning, Simon. Maybe I'll take a shot on the first one, and I'll leave Fernando to complement the buyback. So you know that we give the guidance on the EBITDA line, the fourth way as a way to simplify our conversations and making sure that we have both like the freedom and commitment to invest to the long-term while the financial discipline to deliver profitable growth over time. So I don't think that it makes any sense for us to give too many details or guide for where the sales and marketing will be on the quarter four or quarter one, quarter two next year. This is all built into our overall outlook for the year. But you have one point that's right there, which is we had World Cup last year in which a lot of the expenses in sales and marketing were skewed towards the quarter 4 of last year, but we continue to invest for the long term now and we are balancing well what we to do as we keep developing and leading and growing the category with the needs that we have to activate demand across the market. So it's all built into the fourth weight, which we just reiterated as we announced in quarter 3. Thank you for the question.
Fernando Tennenbaum: Hi Simon, Fernando here. And on your question, the best answer is probably almost immediately. You need to go to a few administrative tasks that you can only do after you announce, but that takes almost no time at all, so kind of almost immediately. Thank you.
Simon Hales: Thank you.
Operator: Thank you. Our next question is coming from Brett Cooper with Consumer Edge. Please proceed with your questions.
Brett Cooper: Good morning. Just one for me. Have your digital initiatives revealed any products or categories where the company has a small presence today that are areas where you've seen ABI demonstrated competitive advantage given your infrastructure? Thanks.
Michel Doukeris: Hi Brett, that's an interesting question. I think that I will take this in two parts. So we are focused now on increase the coverage with BEES as we get to new countries. And at the same time, get more people to convert to BEES marketplace. And the growth that we are seeing in BEES marketplace, both in orders and GMV is very promising. This flywheel works with more partners and their products getting scale and reach as we roll them through BEES marketplace. When we think about products and services within BEES in the digital ecosystem, we are prioritizing on our own initiatives things that we can use low capital and low infrastructure, but leverage and take advantage of the digital platform that we built. During the Capital Markets Day in Mexico, we showcased Vendo by BEES, which is basically a feature built within this to allow us to sell digital products or to work as a place, a channel where people can pay digitally their bills that they have. And this is scaling quickly. In Mexico, 100,000 orders so far, which is a big advantage, a big improvement since we were together in Mexico. It's light structure, fast conversion, good margins. And BEES digital products and digital capabilities such as credit and digital campaigns is where we are focusing on more now, while we are supporting the development of the products of our partners, the physical products through marketplace, which continues to both expand and gather more consumers, engaged in more than 60% of the BEES buyers are now BEES marketplace buyers. Thank you for the question
Operator: Thank you. Our next question is coming from James Edwardes Jones with RBC. Please proceed with your question.
James Edwardes Jones: Yes. Good morning. Michelob ULTRA, I noticed included in the global brand slide unlike Q2. How big is Michelob ULTRA outside the U.S.? And what are the main countries where it's sold? And secondly, you had about $10 billion of cash last year-end, which means that you're paying a coupon of more like 5% on your net debt rather than the 4% coupon on your gross debt that you talked about. Presumably, some of that's going to be used for the bond redemption. I guess my question is, how much cash does AB InBev need to operate? 
Michel Doukeris: Hi, James. Good afternoon. Michel here. I'll take on the first question, and then I'll leave Fernando to complement on the cash question. I think that Michelob ULTRA, first and foremost, is a brand that is very well aligned with an important global mega trend, which is around healthier lifestyle and wellness as a way to socialize and complement our lifestyle, and this is a mega trend that you see present across the globe, pretty much all markets from Latin America to North America, to Asia, are showing an opportunity in this area. And because Michelob ULTRA fits very well and complement our global portfolio in these more social occasions, we thought that would be the right moment to elevate Michelob ULTRA, and we showcased the reasons why and how during the Capital Markets Day. If you look at how the brand is developing, so in the U.S., we are all familiar with the growth path and the velocity of the brand. This is pretty much being replicated as a core proposition in Canada, where the brand has a lot of momentum, fastest-growing brand there. When you think about Mexico, which is a place that we launched, and the brand as well a couple of years ago moving at speed and very healthy growth premium price as well. We extended the brand to some other markets in Latin America, think about Panama and you go through the islands in the Caribbean. The brand has very good momentum as well and we have plans now to continue to roll, choosing the most important countries where we want the brand to develop, where it can add to the portfolio as a core to us. So it's good for margins but also can tap and lead this healthier and wellness type of trend in consumption because it is low calorie, low carbs, very good for everyday consumption as we see from the data in the countries that we already rolled the brand. So huge headroom for growth, premium core plus positioning, global mega trend that's present across majority of our markets and very important play as we continue to consolidate our mega brands, and we continue to drive both category growth and our performance with a more efficient portfolio. Thanks for the question.
Fernando Tennenbaum: And James, Fernando here. On your question, the out of the debt answer would be around $5 million to $6 billion. That's normally what you say is the minimum cash you need to operate, and that's already coming from a safe place because it takes somehow into account seasonality and somehow take into account that they are not tapping any other liquidity sources, which we have a lot like the RCF or any commercial paper. So, if you look at our cash balance, probably we're taking even a more conservative approach lately. If we finish the year with $10 billion, $10 billion is way more than we need to run the business. So kind of we -- and then again, depends on your strategy to give a moment in time. I feel we're still focusing on deleveraging, but Montana health cash balance to make sure that any volatility, we can navigate with no issues at all. Thank you.
James Edwardes Jones: Thank you.
Operator: Thank you. Our next question is coming from the line of Olivier Nicolai with Goldman Sachs. Please proceed with your questions.
Olivier Nicolai: Hi, good morning, Michel and Fernando. Just two questions first. First, a follow-up on the recently announced USC partnership. Could you perhaps give us a bit of background on it? And if it's a normal sponsorship with a fixed payment or if there's viable part linked to the potential recovery of the Bud Light brand over time. And then secondly, many staples companies have commented on how GLP-1 drugs could potentially affect consumer habits in the U.S. Obviously, I assume at not going to be the main company being the most concerned about this. But considering that a lot of your portfolio is within the light beer segment already, but I was just wondering if you've done any work on the topic and the potential risk to volumes on B or RTD or had sales there. Thank you.
Michel Doukeris: Hi Olivier, Michel here. Good morning. Thank you for the question. So I'll take both, starting with the UFC. I think that is just like emphasizing and overstating that UFC is like a global vibrant and growing international sport. It reached hundreds of millions of fans around the world, and it's a great fit for Bud Light in the U.S. and for Budweiser in our other markets. So the combination of global and presence in the U.S. gives us an incredible opportunity to partner with UFC and tap into the fan base both in the U.S. with Bud Light and globally with Budweiser. You know that as a company, globally with support sports period, so from soccer and FIFA to basketball and MDA to football NFL, Golf and PG and many, many other sports platforms because it's a great way to connect with consumers globally in a very relevant occasion. In the U.S., if you go back in time, Bud Light was the official, original UFC sponsor. That was like more than 15 years ago and was only like a natural fit for these two great brands to come back together. So UFC has shown tremendous growth, has over 500 million fans worldwide. And since our revisional sponsorship, it's incredible, amazing to see the growth that the UFC and all the accomplishments of Bud Light to create a truly global brand. So I think that beyond the passion for celebrating our fans, UFC NAV share this American routes, track record of employing American people, driving economic growth part, supporting veterans and first responders. So we could not be more excited about taking this partnership to the next level. And to answer your question, is a normal partnership agreement with as any other partnerships fee payment and then activation around the platform. So there is no variable pay involved in any end of the agreement. So it's a great partnership. I could not be more excited about joining or rejoining UFC on this come back and to have Bud Light in the U.S. for the fans and Budweiser being activated globally, so leveraging the best of both worlds. On the GLP, we've been seeing a couple of questions and people talking about that. But I think that the key point here is beer category remains vibrant, is growing globally, gaining share of throat and is projected for all sources, IFWR, Euromonitor to continue to grow globally, volumes and gaining share of throat. At this stage, I think that's too early to assess any overlap or change in behavior in relevant consumer groups. You see that the penetration of these drugs is still very small, and that is like a relatively wide range of points of view on where this is going with very limited data. I think that for us, we don't see any impact so far in the business. Our portfolio, as you know have several different options for socialization and consumers understand that. And the big distinction because we are not in the indulgence business, right, so you see a lot of the conversations around sweet and more things that are related to indulgence, which is not the case of our portfolio. And on top of that, we have like an incredible range of offers with low calorie, low-carb, non-alcohol, think about Michelob ULTRA, low-calorie; Corona Cero, 56 calories; Budweiser, 50 calories. So we have a portfolio that has some broad range, we see no reasons to make any consideration at this point. And I think that without more data and seeing the developments of deals is going to be more of speculation, so at this point, nothing else there.
Olivier Nicolai: Thank you very much.
Operator: Thank you. Our final question will come from the line of Andrea Pistacchi with Bank of America. Please proceed with your question.
Andrea Pistacchi: Yes. Hi Richard and Fernando. Two, please for me. The first one is on the consumer environment. I mean some of your peers have called out in some markets, mainly in Europe and Asia. Some deterioration in recent months, LatAm seems to be quite fairly resilient for now. So I wonder if you could provide a quick assessment in terms of what you're seeing in consumer environment in your main markets around the region and whether you have seen any change since the last update of Q2. And the second question, please, is on your SG&A in North America, which increased 2.5%. Now there's clearly various buckets within your SG&A. I imagine distribution costs will be declining support to wholesalers going up. But in terms of your media spend, a couple of quarters ago, you had you'd said that this year, it would be very focused on the summer months as there'd be a step-up through the summer month. So I was wondering whether that has taken place or whether maybe over the last few months, your plans have evolved a bit. Maybe you're waiting for the dust to settle before really stepping up media spend in the U.S. Thank you.
Michel Doukeris: Andrea, thank you for the questions. I'll take both here. In terms of the consumer environment, I will follow the sequence of your question, starting with Europe. I think that the categories, I think, dollar-wise remains resilient. And most importantly for us, consumer -- underlying consumer demand for our brands is going very well. So if we look at the volumes in this quarter, we saw a decline like high single digits, and a lot of that was weather-related. And it's interesting because the south of Europe was very hot. But our footprint is more concentrated on the center and northern part of Europe that was very cold, very wet. And we saw July, August, very bad with some improvement in September and further improvement in the early readings of October. So difficult to precisely say how much was weather, how much is consumer environment, but was more on the weather, less on the consumer environment. And the consumer environment, of course, has inflation and prices up and solids that are catching up. So as you see the disposable income, September also marked a point where disposal will increase because of the salaries increase. It's now at par and recovering versus inflation. So I think that, that is an interesting combination of better weather, more disposable income as we face from quarter three to quarter four. In China, we saw a similarly complicated industry, mostly impacted by weather. So the El Nino hit the South China and the Southeast China as well. I just came from China two weeks ago, spent a lot of time there, 12 days in the region. The consumption, you see that is thriving. The market is open. Consumers are coming back. The beer category, resilient overall other than the ones that impact. And most importantly, for our portfolio, premiumization remains a very important trend. I think that the overall environment in China is a one-off recovery with utility recovering, activity recovering. You see that some structural issues in the real estate, which is not our business, but of course, impacts the overall economy and a little bit more cyclical in exports, but this doesn't change the long-term prospects for China for our business, and particularly because both the industry remains very resilient. And the most important thing, which is premiumization, where our portfolio is performing very well, continues to move in the right direction. And in Latin America, I think that we are seeing this strength that continues to manifest across majority of the markets. Of course, you have impact here and there from the El Nino climate. We just saw this big event in Mexico Poco region. But you are also seeing strength across other markets, Colombia and Brazil, where inflation is more under control, real sellers are moving correct, and the strength of our portfolio is delivering the numbers that we need to deliver. So I think that this is like a big consolidation of how I see the industry and the consumer environment.
Andrea Pistacchi: Yes, on the marketing and the media spend in the U.S. and the SG&A.
Michel Doukeris: I'm sorry, I forgot the second question. Sorry about that. In short, we are managing very tight as usual, our overheads. And we've been investing, as we said, behind our brands to the long-term, and we didn't change our investment plans for the summer. We continue to invest, and we will continue to make the right investments and choices to the open. Thank you.
Andrea Pistacchi: Thank you.
Operator: Thank you. This was the final question. If your question has not been answered, please feel free to contact the Investor Relations team. I will now turn the floor back over to Mr. Michel Doukeris for closing remarks.
Michel Doukeris: Thank you, Jesse. Thank you all for your time today and for your ongoing partnership and support of our business. Stay safe and well, and we will see you on our quarter four. Thank you.
Operator: Thank you. This concludes today's earnings conference call and webcast. Please disconnect your lines, and have a wonderful day.